Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Clear Channel 2012 Fourth Quarter and Full Year Earnings Call. [Operator Instructions] I'd now like to turn the conference over to Gregory Lundberg. Please go ahead.
Gregory Lundberg: Good afternoon, and thank you for joining our 2012 Fourth Quarter and Full Year Earnings Call. With us today are Tom Casey, Executive Vice President and Chief Financial Officer; and Brian Coleman, Senior Vice President and Treasurer. Tom will provide an overview of the fourth quarter and full year 2012 financial and operating performances of CC Media Holdings, Clear Channel Communications and Clear Channel Outdoor Holdings. For purposes of this call, when we describe the financial and operating performance of CC Media Holdings, that also describes the performance of its subsidiary, Clear Channel Communications. After Tom's comments, we'll open the lines up for questions. But before we begin, I'd like to remind everyone that this conference call may include forward-looking statements that involve uncertainties and risks. There can be no assurance that management's expectations, beliefs and projections will result or be achieved, or that actual results will not differ from expectations. Please see our annual reports on Form 10-K and our quarterly reports on Form 10-Q filed with the Securities and Exchange Commission for a discussion of important factors that could affect our actual results. Pacing data will also be mentioned in this call. For those not familiar with pacing data, it reflects revenues booked at a specific date versus the comparable date in the prior period and may or may not reflect the actual revenue growth rate at the end of the period. The company's revenue pacing information includes an adjustment to prior periods to incorporate all acquisitions and exclude all divestitures in both periods presented for comparative purposes. It also eliminates the effects of movements in foreign exchange rates. During today's call, we'll also provide certain performance measures that do not conform to generally accepted accounting principles. We've provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press releases, which can be found on the Investor sections of our websites. A webcast of this call and the earnings press release issued today can be found on the Investors sections of the websites at www.clearchannel.com and www.clearchanneloutdoor.com, and a replay of this conference call will be available for a period of 30 days. With that, I'll now turn the call over to Tom Casey.
Thomas W. Casey: Thank you, Greg, and good afternoon, everyone. 2012 was a transformational year for Clear Channel, both for our business and the capital structures of CC Media Holdings and Clear Channel Outdoor Holdings. We grew revenues and delivered solid OIBDAN in 2012 despite a difficult economic environment. The credit for this achievement goes to the hard work for our people across the company, as well as the outstanding global leadership team that we have put in place over the past year. With the realigning of our company for growth under Bob Pittman and our other senior leaders, there's a powerful entrepreneurial spirit that's driving whole segments of the company. You can see it in our building of new businesses like iHeartRadio. We surpassed 20 million registered users, faster than any Internet service platform ever, and now it draws over half of its usage from mobile. Or in the unique capability we have to leverage our 840 radio stations, digital businesses and events to connect fans with artists. You can also see it in our Outdoor businesses, where we're launching innovative digital products around the world and in our groundbreaking music rights agreements with record labels. And we're building out our national advertising capabilities in both Media and Entertainment and Outdoor. All these activities are focused on maximizing the value of Clear Channel's unique platform of Media, Entertainment and Outdoor assets with its industry-leading reach. Financially, we continue to invest strategically in our operations to drive the long-term growth of the business, such as optimizing both our Media and Entertainment and Outdoor infrastructure and operations to maximize our revenue and profit potential. And we're funding these initiatives, in part, with cost savings from other areas where we have realigned the businesses to better reflect the reality of today's marketplace. In 2012, over half of these initiatives were focused on the expense side, including activities like severance and lease negotiations, that have quick paybacks of under a year. The remainder of the investment is in consulting and other activities focused on organizational change to improve revenues, including sales force structure and effectiveness, as well as yield management for both Radio and Outdoor. In 2012, we spent $76 million on these strategic revenue and cost initiatives across Clear Channel, which we expect to positively impact our profitability going forward. Last year was also very important for financing activities. The company and its subsidiaries raised $7.5 million in debt capital markets during the year and used the proceeds with existing cash to pay down existing debt, return capital to stockholders and extend our maturities. Raising this amount of capital in and of itself was a significant achievement, but the company's Clear Channel Communications subsidiary also gained meaningful amendments that provided flexibility to manage its debt maturity profile and future liquidity. One of the more important transactions during the year was an exchange of $2 billion of Clear Channel Communications bank debt for notes with longer maturities. Simultaneous with this exchange, Clear Channel improved its overall financial flexibility with the allowance of an additional $3 billion of bank debt exchanges and the ability to prepay its 2014 bank debt. At year end, our cash balance was $1.2 billion, and we will remain disciplined and proactive in addressing Clear Channel's liquidity and capital structure. Now let's review the company's performance in the quarter and full year, starting with our overall results for CC Media Holdings. I'll then continue with our Media and Entertainment business and the details of our Americas and International businesses at Clear Channel Outdoor Holdings. Lastly, I'll wrap up with a review of our capital spending and liquidity before taking your questions. Please note that our 2 earnings releases provide a detailed breakdown of all foreign exchange and noncash compensation expense impacts, as well as segment revenues and OIBDAN for the quarter and the full year. My discussion today will also be on a constant foreign exchange basis unless otherwise noted. For CC Media Holdings, revenues totaled $1.7 billion, up 3% in the fourth quarter. With a minimal foreign exchange impact in the quarter, revenues were also up 3% to $1.7 billion on a reported basis. Contributing to the overall revenue increase was growth at Media and Entertainment, as well as Katz Media, both of which had benefited from political advertising in the quarter, on a local and national basis. In Outdoor, digital revenues were solid globally. Our overall growth in Americas was offset by certain regions in our International business. CC Media Holdings OIBDAN for the quarter reached $547 million, up 2% from the fourth quarter of 2011. Included in OIBDAN this quarter were $28 million of expenses associated with our strategic revenue and cost initiatives, compared to $22 million in the fourth quarter of 2011. Again, these were projects across all of our businesses to improve operating efficiencies and future profitability. For 2012, CC Media Holdings revenues totaled $6.3 billion, up 3% for the year. On a reported basis, including $79 million of foreign exchange impacts, revenues grew 1% to $6.2 billion. Media and Entertainment revenues grew 3%, including national and local growth, driven by political. American Outdoor revenues were up over 2% for the year on greater digital capacity and increased airport revenues, driven by higher occupancy and rates. And our International Outdoor business was up 1%, adjusting for the divestiture of businesses during the year. CC Media Holdings 2012 OIBDAN was $1.8 billion, essentially flat compared to 2011, including $76 million of strategic revenue and cost initiatives compared to $36 million in 2011. As I'll discuss in the segments, Clear Channel continues to realize its cost structure to fund new growth and cost-taken initiatives. These expenses have a current period impact and are expected to generate greater operating efficiency as we continue to reposition the company for future growth. The company's consolidated EBITDA, as defined under its senior secure credit facilities, was $2.033 billion in 2012, up 4% from 2011. Now let's move to our performance of our Media and Entertainment segment. Our Media and Entertainment revenues rose 4% to $821 million in the quarter. We increased national advertising sales by 17% over last year's fourth quarter, or 3% excluding political, and local revenues grew 5%. We also saw a nice lift in revenue from digital, with our listening hours up 68% over the fourth quarter of 2011, fueled by increased iHeartRadio usage, which reached 118 million total listening hours in December. In terms of advertising, our best performing categories were political, auto and telecom. Political advertising reached $40 million in the quarter. On a year-over-year basis, operating expenses increased $17 million or 4%. Most of the increase was in personnel investments in high-growth areas from new revenue initiatives, such as digital and national. We also saw an increase in music streaming fees associated with higher usage. Expenses also reflect $8 million of strategic revenue and cost initiatives, down $6 million from last year. Importantly, as we focus on bringing incremental advertising dollars to the segment, we find new ways to enhance operational efficiencies and continue to use the cost savings from certain initiatives to fund investments in high growth opportunities. Media and Entertainment OIBDAN rose 4% to $341 million in the quarter. Operating margin, which is OIBDAN as a percent of revenue, remained constant with last year at 41% and was up from 39% last quarter. For the full year, Media and Entertainment revenues grew 3% to $3.1 billion. National revenue rose 9%, driven by both our new national advertising efforts and political. Local revenue was up 2% for the year. Our top advertising categories were auto and telecommunications. Political advertising reached $70 million for the year. Including Katz, which is reported in our other segment, our total political revenues were $114 million. Digital revenues also showed strong growth in 2012, due to an impressive 100% rise in listening hours in iHeartRadio platform. Advertiser event sponsorships were also higher as we hosted over a dozen nationwide Jingle Ball concerts, with more planned for 2013, and staged our second successful iHeartRadio Music Festival, which is turning into a signature annual music event. Total operating expenses rose 2% or $38 million for the year. As in the fourth quarter, lower programming costs were offset by higher sales expenses and digital streaming costs resulting from greater listening hours. Included in the full year were $22 million of expenses related to our continuing revenue and cost initiatives, up from $18 million in 2011. Media and Entertainment OIBDAN grew 5% during the year to $1.2 billion, while operating margin expanded a point to 40%. Looking at the first quarter of 2013, although our visibility range is limited, we continue to see challenging economic conditions, as well as a reduced political spend now that the elections are over. As of last week, radio station pacings are up 2% compared to the prior year period. However, our total pacings for Media and Entertainment are down approximately 3%, due to the slow start in nonbroadcast-related businesses, including Traffic, which continues to be impacted by our integration activities. Now let's go to our Outdoor results, where all numbers will be at constant foreign exchange rates unless otherwise noted. One important item I want to highlight for you is that Clear Channel Outdoor Holdings recorded a loss on extinguishment of debt related to Clear Channel Worldwide Holdings' $2.5 billion refinancing of 9.25% debt. This charge on a pretax basis was $221 million for the quarter and the year and drove $0.39 of Clear Channel Outdoors Holdings' 2012 full year EPS net loss of $0.54 and a fourth quarter EPS net loss of $0.42. Fourth quarter and full year EPS were also reduced by the strategic revenue and cost initiatives, as well as legal and other costs in Latin America, which I'll discuss in a moment. Clear Channel Outdoor Holdings revenue were down 1% in the fourth quarter, with Americas up 1% and International down 3%. On a reported basis, which includes foreign exchange impacts, total revenues declined 2%. Expenses increased 2% and OIBDAN decreased 10% to $207 million, down approximately $22 million from last year. Adjusting for the disposition of 2 International businesses during 2012, fourth quarter OIBDAN declined 9%. OIBDAN results for the fourth quarter includes $18 million of strategic revenue cost initiatives, which is $11 million more than we invested in the fourth quarter of 2011. This investment is to reposition the businesses for the future growth by adjusting to economic conditions in the developed markets, while continuing to invest in emerging markets, where we're having good revenue growth and seeing more favorable advertising outlook. For the full year, Clear Channel Outdoor Holdings revenues were up 1%. On a reported basis, including the effects of foreign exchange, revenues declined 2%. As was the case in the fourth quarter, full year results reflect solid growth in the Americas and an International story that reflects regional variation in the global economy, where we're seeing stronger economic conditions and growth in markets like Australia, China and Latin America. This growth is being offset by certain geographies with weakened macroeconomic conditions, particularly in France, Southern Europe and the Nordic countries. OIBDAN was down $73 million, or 10%, to $672 million. Please note that this $73 million decline included a $27 million increase in strategic investment costs in 2012, as well as an additional $27 million in legal and other costs in Latin America, which were 0 in 2011. Now let's talk about our Americas segment. Americas Outdoor revenues rose 1%, or $5 million, to $343 million in the quarter. Greater digital capacity, as well as higher airport occupancy and rates, drove this growth. The quarter's stronger advertising categories include political, retail and auto. And offsetting the revenue growth in part was a decline in revenues from traditional posters and bulletins. On a reported basis, revenues grew $5 million or 2%. Americas operating expenses rose $11 million, or 5%, to $213 million, including a $4 million increase in expenses incurred to drive revenue growth on our displays and realign our U.S. operations to make us more efficient going forward. The remaining lift in expenses were due partially to higher site lease cost related to new digital displays, increased airport cost associated with the revenue growth, higher sales force cost and some litigation expense. In the quarter, Americas OIBDAN decreased $6 million, or 4%, to $130 million, including the $4 million increase in costs I mentioned. For the full year, Americas Outdoor revenues grew 2% or $27 million to $1.3 billion on the same drivers as the fourth quarter: Greater digital bulletin capacity and higher airport occupancy and rates. We're also benefiting from some of our strategic investments, particularly on sales transformation and yield initiatives we have been talking about all year. We finished the year with over 1,000 digital billboards, a 21% increase from 2011, reflecting the strong growth we see in this segment. On a reported basis, revenues also grew $27 million or 2%. Americas operating expenses grew $29 million, or 4%, to $794 million. Included in the expenses were $15 million of cost to optimize our U.S. infrastructure through strategic investments, up from $4 million in 2011. The rest of the expenses were due mainly to higher site lease expenses related to new digital displays and airport costs associated with revenue growth. For the year, Americas OIBDAN was flat at $486 million. In terms of pacing, the U.S. business is performing well. As of last week, revenues at our Americas segment are pacing up approximately 2% for the first quarter, compared to the year-ago period, with digital posters in airports up and with fairly stable traditional bulletins. Stronger advertising categories include retail, restaurants, auto and beverage. Turn to our International results. My discussion will exclude the impact of International divestitures in 2012, and all numbers will be at constant foreign exchange rates unless otherwise noted. International revenues decreased $3 million or less than 1%. Again, we're seeing strength in emerging markets, offset by challenges in certain geographies as a result of weakened macroeconomic conditions, particularly in France, Southern Europe and the Nordic countries. Revenues are growing in markets where economic conditions were more favorable, including Australia, China and Latin America. On a reported basis, revenues declined 4%. Like our Americas segment, our International business continues to focus on digital opportunities. As of December 31, 2012, we had more than 3,400 digital displays in 13 countries across Europe, Asia and Latin America, a 17% increase for the year. Please note that these displays are generally not bulletin size as they are in our reported Americas figures. The large number of International digital displays has allowed us to create and launch a new asset, the Clear Channel Play network, which lets clients advertise through a network of digital displays in multiple formats and various environments, including bus shelters, airports, transit, malls and other flagship locations. Operating expenses grew $6 million, or 2%, to $361 million in the quarter due to higher costs associated with new contracts. International OIBDAN in the fourth quarter of 2012 declined 8% to $105 million. I would like to point out that the quarter included $6 million of expenses for strategic revenue cost savings programs, which are important to the success of our International business as we continue to position it for higher profitability in a challenging economy. Also included in expenses in the quarter were $7 million of legal and other costs in Brazil. Adjusting for these items in total, operating expenses for the quarter were down. 2012 International Outdoor revenues were up for the first 9 months. However, we did see some pressure in the fourth quarter from challenges in certain markets as a result of weakened economic conditions. Overall, 2012 International revenues increased $11 million, or approximately 1%, after adjusting for divestitures. On a reported basis, revenues decreased $83 million, or 5%, including the effects of movements in foreign exchange rates. Operating expenses were up $64 million or 5% in 2012 due to higher cost related to increased sales activities and new contracts. However, within this $64 million increase was a $27 million increase in legal and other expenses in Latin America, as well as a $6 million increase in investments in strategic revenues and cost-saving initiatives. As I mentioned, these are special programs we implement to rationalize the business in addition to our day-to-day operational focus on cost management. International Outdoor OIBDAN in 2012 declined $54 million, or 16%, to $291 million, driven by the operating expense increase I discussed. Overall 2012 OIBDAN included $19 million of cost for investments in strategic revenue and cost savings programs, as well as the $27 million of litigation and other expenses I mentioned. Turning to pacing data. We continue to deliver mixed performance across our International markets due to a variety of economic factors. As of last week, International revenues were pacing down 1% for the quarter compared to the year-ago period, which is pro forma for divestitures. We continue to adjust our business to weakened economic conditions in some markets, particularly in Europe, including France, Sweden and Belgium, while investing in geographies where there are stronger growth potential, such as Latin America. Our appointment of Mark Thewlis as Executive Chairman of Clear Media in China and Aris de Juan as Regional President of Latin America, illustrate our strategy of improving the company's presence in some of the world's fastest-growing advertising markets. Let's move on to capital spending and our balance sheet. CC Media Holdings capital spending for the quarter totaled $130 million compared to $144 million in last year's fourth quarter. For the year, CC Media Holdings capital spending was $390 million, up $28 million, or 8%, highlighting the increased investments in our business. Outdoor accounted for $276 million of the 2012 annual spending, which was the result of adding digital displays globally and expanding street furniture and transit contracts internationally. This includes the deployment of 178 new digital billboards in the U.S. and continued International digital expansion. For CC Media Holdings in 2013, we expect capital expenditures to be approximately $350 million. On December 31, CC Media Holdings total debt remained flat with the third quarter at $20.7 billion. Senior secured leverage, as defined under Clear Channel's credit agreements, at the end of the fourth quarter, was 5.9x versus 6.9x in the year-ago quarter, based on consolidated EBITDA of $2.033 billion for 2012, which was up 4% from 2011. This calculation of EBITDA is detailed in the press release and makes certain adjustments pursuant to the credit agreements. Cash on the balance sheet was $1.2 billion at year end. Clear Channel Outdoor Holdings debt was $4.9 billion and leverage under its indenture was 6.3x on a total consolidated debt basis and 3.5x on a senior debt basis. Cash on the balance sheet totaled $562 million. As I mentioned at the beginning of the call, Clear Channel Communications completed an extremely important transaction in 2012 and has greatly benefited its overall capital structure. With significant support from its lenders, Clear Channel exchanged $2 billion of term loans under its credit facilities for new notes with longer maturity due in 2019. This was a private offering limited to existing term loan lenders and was oversubscribed by 4x. To us, that's a clear indication that the market viewed the events as a positive for our credit. At the same time as this exchange, Clear Channel Communications also obtained an important package of amendments to its credit facilities that provided more flexibility to manage its liquidity and debt maturity profile. This includes the ability to offer a total of $3 billion more in exchanges of term loans for new notes securities and enables the prepayment of 2014 bank debt of $847 million on a non-pro rata basis of 2016 term loans. Total capital raising activities for Clear Channel and its subsidiaries in 2012 were significant, with $7.5 billion of debt raised and most of the proceeds used to refinance existing indebtedness. With $1.2 billion of cash on hand at Clear Channel, we're comfortable with our maturity schedule in 2013, and we will continue to take disciplined, proactive steps to address our capital structures and liquidity. I'll close by saying again that this was a transformative year for Clear Channel's people, as well as for the businesses and balance sheets. Our goal is to transform our business in new ways. You saw us achieve this last year. We expect 2013 to be no different. You will see exciting new initiatives launched into the market, all with the goal of aligning the operating structure of the company to these opportunities to drive revenues and profitability. We are encouraged by the solid performance across all of our businesses in a tough market. Initiatives that we've taken last year are already providing a return. And as you just heard, we continue to invest in high-growth areas and continue to restructure our business to drive higher profits. Thanks for your time today. Operator, please open the lines for questions.
Operator: [Operator Instructions] And we'll go to the line of Marci Ryvicker.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: Two questions. One on Americas Outdoor, it's kind of a long one. You were pacing up 2% on your last call. You came in up 1%, excluding foreign exchange. So just trying to understand the puts and takes here. I think 2 things from the press release I'm wondering about, the first is that traditional bulletins and posters were down, so I'm wondering what's driving that? And then with regards to digital, the language suggests that all of the growth in digital is coming from capacity, so that would be new boards, which would suggest that same-board revenue and rate is not contributing to the increase. So is same-board revenue on the digital board flat or down?
Thomas W. Casey: Marci, a couple of -- let's maybe address that one first and then if you have another question -- Yes, we did see some softness in traditional bulletins. I think that's been consistent all year. We are seeing our digital business continue to be up nicely. As we've talked about all year, digital is posting double digits. Traditional bulletins right around flattish to slightly down, the quarter and for the full year, that's pretty consistent. We also saw posters slip a little bit in the fourth quarter that drove a little bit of that delta that you were referring to between the pacings. As far as rate and occupancy goes, for bulletins, it's pretty flattish and for posters as well on rate. We are seeing some movement in occupancy but again, not big deltas when you're dealing with a 2% growth in pacing. So not big, big drivers that I could point to. Pretty consistent throughout the year and throughout the quarter.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: Was the poster weakness due to macro uncertainty? Is that more towards the end of the year where that happened?
Thomas W. Casey: Yes. It's interesting, we saw some slowdown throughout the year. So actually, the fourth quarter was actually better than we saw, actually, for the whole year in posters. In fact, I think in the quarter, the first quarter, we're actually seeing posters pretty strong in the first quarter. So that business can move around a little bit as certain advertisers come in and out of that medium. But that was some of the driver we're seeing in the first quarter as well as what we saw in 2012.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: And then the double-digit revenue growth for digital that you mentioned, is that all coming just from new boards? Or are you actually showing increases in rate?
Thomas W. Casey: In rate itself, it varies by markets. Overall, we probably saw some rate give up, so a lot of it was coming through additional capacity. But also, occupancy was up a little bit.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: Okay. And then my last question is just in Radio. You've done a lot of new deals with some of the labels and the latest was with Robert -- Robbins Entertainment, where you're sharing revenue. Just what are you hoping to accomplish here? And are you suggesting that you anticipate that listenership is going to continue to migrate online?
Thomas W. Casey: Well, we have done a number of transactions, and what we're trying to do is to strike a balance with the record labels on rates paid on terrestrial, as well as on digital. We've been very encouraged by the dialogue and the deals we've been able to strike, and we will continue to seek new ones. We just think it's arm's length transactions and are a win-win for both of us, so you'll continue to see those. Frankly, some of them have been relatively small, but they're important developments with the labels.
Operator: We'll go to the line of Jason Kim.
Jason K. Kim - Goldman Sachs Group Inc., Research Division: I'll start off with a question about expenses. I was hoping if you can share with us you're -- how you're thinking about expenses in 2013 compared to 2012. I think that in 2012, there were a number of initiatives you guys undertook that may have put a little bit of pressure on overall margins. And as we look out into 2013, should we be thinking that the level of investment should increase even further from 2012 levels or relatively flat in dollar terms, or were there some expenses that you've incurred last -- or this year that were more of a onetime in nature that as you anniversarize these spendings, that we can see some margin upside?
Thomas W. Casey: Yes, just a recap, because I know there's a lot of information in the transcripts. Keep in mind that last year, we had about $36 million of restructurings. This year, it's about $76 million, so we clearly increased the pace of some of our efforts, more than double. We also did have about $27 million of items. About $20 million of that was related to Brazil, we talked about in the second quarter. I don't expect that to reoccur. And then an additional $7 million we incurred in the fourth quarter to clean up some additional items in Brazil. So a pretty significant amount of investments and cleanup activities in 2012. I would say, as we get into 2013, I don't expect the same level of expenses, as well as the level of investment. Having said that, as we look at our International business, we have continued to see opportunities to reorganize those businesses and rationalize expenses given the slowdown we're seeing in some of the revenue areas. And so to extent there's opportunities for us to accelerate some of those activities with restructuring charges, we'll do that. And we'll make sure that you know about them as we go. But a pretty significant increase from '11 to '12, again, $36 million up to $76 million. I wouldn't expect that level to continue in 2013. We did a lot of work in 2012. There may be still some across the businesses, but that's going to really be dependent on how the economies go around the world and how our revenue profile shakes out.
Jason K. Kim - Goldman Sachs Group Inc., Research Division: Got it. And just a clarification question on the Traffic side. So it sounds like the revenues for that particular business is trending down pretty meaningfully. But if I recall correctly, that those are pretty low margin businesses. So is it fair to say that the impact -- the EBITDA impact from that business losing revenue should not be as severe as the revenue decline you're seeing right now?
Thomas W. Casey: Well, I think the margins in the business are still very good. We like the business a lot. I think what you're seeing in the quarter is really a combination of a couple of things. One is, as we did the acquisition, we knew that certain affiliates would terminate. That's just part of the negotiations we had as part of the transaction. So you're seeing, just the year-over-year impact of that, as well as I commented on some of the integration activities that we have as we bring those 2 sales forces and 2 systems together and the inventories. So we like to see that business get back on track and should see growth. But it's a good business, good margins. We're just having some comparable issues and still working through the integration activities.
Jason K. Kim - Goldman Sachs Group Inc., Research Division: Okay. Just one last question, the cap structure side, for Tom or Brian, on the -- so 2012 was a very busy year and productive year for you guys to gain more flexibility in the balance sheet, and then the very last transaction was putting in the new ABL facility with an extended maturity profile. Now in the past, you talked about the ABL facility being another source of potential liquidity when you looked at the 2014 maturity profile. And I'm curious, do you still consider that to be the case? And if so, why not use the capacity right now to pay down the term loan A for a little bit of interest rate savings? Or do you look at that ABL capacity as something you want to have at your disposal as you look at a more holistic transaction with your 2016 maturities?
Brian Coleman: Yes, I'll answer that. We continue to look at all our options, and then we do realize there's a positive carry benefit of using that ABL and to the extent that you can use it to pay down term loan A. That's kind of consistent with the way we've described the use of that facility in the past. So I would tell you that we're pleased to have it extended at the end of the year. We appreciate the support of our bank group in getting it extended. They're in the process of a secondary syndication, which we hope goes very well. And I think that we'll continue to revisit various options. Having the prepayment ability of term loan A, which is one of the amendments Tom referred to, and part of the debt exchange, kind of gives us that flexibility. No decisions have been made today, but we'll continue to look at that and all of our other options.
Operator: Next, we'll go to the line of Avi Steiner.
Avi Steiner - JP Morgan Chase & Co, Research Division: Just first, can you clarify the first quarter pacing guidance you gave in Media and Entertainment? I thought you said Radio was plus 2%, total is minus 3%, correct me if I'm wrong. And I'm really trying to dig into x Radio, what's in there, x Traffic, that's causing that swing?
Thomas W. Casey: Yes, so I gave 2% stations. I want to make sure that you know that the broadcast business is doing very well. Traffic is pulling that number down, so it's the delta from 2% positive, 3% negative. Also in there is going to be our Premier business, which is having a slow start as well. Those are the deltas from the 2% positive to the 5% negative.
Avi Steiner - JP Morgan Chase & Co, Research Division: And is Premier contract losses or just regular business performance?
Thomas W. Casey: As I mentioned, I think January was a pretty slow start to the year. And I think Premier saw some challenges in the fourth quarter, as well as in the first quarter, so we're just seeing ourselves recover from that. But it's something that had just a weaker start than broadcast that we wanted to highlight for you.
Avi Steiner - JP Morgan Chase & Co, Research Division: Okay. And then if I can take the last question maybe in a little bit different direction. So I'm coming up with kind of a pro forma cash balance post the 5.75% repayment, a little bit under $1 billion, and I'm trying to think about how you guys look at liquidity and are there minimum cash balances you look at for the company. And I know that number I gave was consolidated, but if you can just talk about that and how you think about that relative to your structure?
Thomas W. Casey: Yes, we've been very pleased with our cash management liquidity activities throughout 2012. As Brian said, we're going to continue to be proactive. Your math is correct. We had $1.2 billion at the end of the year, then we had some maturities in January. So the cash balance has come down. It's still very high at the $900 million level in kind of in January timeframe. We will continue to look at ways to bolster our liquidity and take advantage of favorable markets and be as proactive as we were in 2012, where it makes sense to reposition the capital structure, extend it where we can. And I think you'll continue to see us do that throughout 2013.
Avi Steiner - JP Morgan Chase & Co, Research Division: Okay, last question for me. So CBS is -- has put some international assets up for sale. And just curious whether -- I assume you're going to look at it like you look at everything. But how you think about, I guess, the M&A landscapes domestically and internationally and how you think about your own Outdoor assets in that context?
Thomas W. Casey: Well, I can't speak for them. But for us, we continue to see opportunities to reposition our International businesses. As you know, we've been able to increase the margin in that business back up to the -- close to the 20% range. Clearly, in parts of Europe are more challenging as the economies have retracted a little bit, but we are seeing good strong growth in China and Australia and in Turkey and other developing markets, Latin America. So obviously, we're always looking at opportunities to expand our business. But right now, we're very, very focused on our businesses. We're managing through a difficult environment. Probably the more interesting news with CBS and Lamar is the development of the REIT. As I've said in the previous calls, that's something that we will continue to look at. We think it's an interesting development for the entire market, and so you'll expect us to continue to look at that and see what opportunities may present themselves for us. So more to come on that, but that's probably the more interesting area of value creation for the company.
Operator: Next, we go to the line of Lance Vitanza.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: I had a couple of quick housekeeping items and then a couple of bigger picture stuff. The first, the political in Q4, the $40 million that you called out, is that just in the Media and Entertainment or does that include Katz?
Thomas W. Casey: No, that's just Media and Entertainment.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: And where did -- was the -- well, I think you said $47 million for the full year at Katz. Was that all in Q4?
Thomas W. Casey: No, majority of it was -- I think it was $22 million in the fourth quarter at Katz.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: Okay, great...
Thomas W. Casey: So $114 million all-in for the full year.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: So it's $44 million at Katz for the full year. Got it.
Thomas W. Casey: But what I'm saying is the $114 million was the total for CCME and Katz for the year.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: Right, got it. Okay. And so then the reported EBITDA reduced by the $6 million of litigation and the $7 million of the legal in Latin America, were there any corresponding amounts in Q4 of '11?
Thomas W. Casey: I don't recall that time I had -- there was -- as I mentioned, I think, to a earlier call on, for Jason, that we had about $36 million last year in total. I don't think for the quarter, I recall specific big items that would drive any kind of delta, but I don't have that in front of me right now. But I don't believe there was anything that was called out.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: Okay. And that $6 million -- I know the $7 million was all Latin America, but it sounds like the $6 million was spread out. Some of that was at the Americas Outdoor and some of that elsewhere. Is that right?
Thomas W. Casey: That's correct.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: Okay. And then in terms of the more strategic stuff, WOR, the station that you recently bought in New York City, is the idea there that you'll move Rush onto that station early in 2013?
Thomas W. Casey: No decisions have been made at this time. I think we're working through our options. We're very excited about having a flagship station, AM station, in New York. We think we have great content and we'll evaluate what the best approach is for that market. And you'll see us do that sometime in 2013.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: And I believe Cumulus has Rush in New York right now. Do your contract with -- does the contract with Cumulus allow for you to move it? Or is there an expiration date that I should be aware of?
Thomas W. Casey: Lance, we don't comment on specific contracts with the -- on an investor call, so I don't have any details that I could share with you at this time.
Lance W. Vitanza - CRT Capital Group LLC, Research Division: Okay. And then lastly then, just on the balance sheet. I mean, all the balance sheet repair has been great, but it has increased your interest expense a fair amount. So I'm wondering, as you think about your free cash flow profile today, do you think you have the wherewithal to execute additional refinancings in the near term? Or is it give the business time to show more EBITDA growth, cash flow growth and then execute later on?
Thomas W. Casey: Well, I think it's a balancing act, right? So we were constantly taking advantage of favorable markets. We were very, very aggressive last year with over $7 billion of refinancings in favorable markets. To the extent that we see favorability in markets, we'll continue to execute. That's why we're spending the time and energy we are on all the restructurings and repositioning of the company to get these expenses out and improve free cash flow, to fund not only new investments, but also to fund repositioning of the capital structure. So our efforts are to really do both: Is to be able to grow our business, provide the liquidity and funding we need to refinance the debt. And it's all about pace and timing and balancing those 2 initiatives.
Brian Coleman: The one thing I'd point out, because I think on the last call, Tom actually pointed it out, so we do have a fairly sizable interest rate swap that matures this year. I think the LIBOR reset rate is 4.40%, so that will be a nice benefit in terms of a reduction in interest expense that we don't have to do anything other than let it expire.
Operator: [indiscernible] line of [indiscernible].
Unknown Analyst: Two questions. You mentioned in fourth quarter for Outdoor, the political, retail and auto were all pacing up. Are you seeing any new categories so far pacing up for this quarter? And also, can you provide the pro forma revenues and expenses for International so we can do comparisons for your guidance?
Thomas W. Casey: Yes. Just for first quarter, I'll give you for Media and Entertainment and for Americas. On the Media and Entertainment side, where we're seeing some strength is in financial, food and beverage, telecom. Auto was actually up as well. That's obviously a large category for us. And on the strong side on the Americas is retail, again, auto, beverage and travel. Okay? As far as pro formas, not exactly what exactly what you're looking for, but let me try to give you some frame on the pro forma for CCOH. Just in total, adjusted for FX and restructurings, was about $235 million of OIBDAN. This is for the quarter ended, and that would be about flat, at 0.3% negative for the year, 2% for the quarter. For the full year, it would be about $747,663,000, and that would be slightly positive at 0.2% OIBDAN after FX and restructurings. So that will give you some frame to think through. I think one of the -- I know there's a lot of moving pieces in here. One of the ways that we try to highlight some of the year-over-year improvements, you may recall my comments in the transcript about bank EBITDA. This is the definition that we use for our leverage calculations. That actually improved by 4%, and that factors in all the noncash adjustments, as well as certain adjustments under the credit agreements that we have. That's a pretty good indication for CCMH all-in year-over-year growth. So just -- it's a helpful frame as you think about all these pro formas.
Operator: We'll go to Davis Hebert.
Davis Hebert - Wells Fargo Securities, LLC, Research Division: You talked a little bit about the -- some of restructuring items you're doing in Europe on the Outdoor side and you also mentioned some high-growth opportunities that you're funneling strategic investments into. I'm wondering if you could talk a little bit about that and how we might see that show up on the top line this year?
Thomas W. Casey: Yes. Some of the areas that we're seeing really spread across the entire company is in some blocking and tackling and things like yield management. We've had many, many years of success in yield management in the Radio business. And over the last few years, we have been rolling out that same discipline across our Outdoor business and internationally. Another area that we see big opportunities is in sales force effectiveness. This is, again, just basic blocking and tackling, improving our sales force effectiveness across the globe. These efforts are pushed out to each individual market and internationally, the waves of the development. We accelerate that with some of our restructuring dollars to get those disciplines into the businesses as fast as we can. There's also things like just improving the way we do procurement and how we source around the globe. Now these are things that have ongoing benefits, and so we're willing to invest in them. I think the key thing is that, as we mentioned, a lot of the expense saves that we've had, those typically have a pretty quick payback. We're looking at sub-6 months type of paybacks. Some of the strategics have long-term paybacks that give us multiple years of benefit. Some of them have a little bit longer tail, but they typically are within a year or so. As we see opportunities to do that across the business, we will do that. And lastly, we do have some lease renegotiations as well, that also affects our -- benefits our operating expense going forward. So those are kind of a color and feel for some of those items. And then lastly, some of the other focus areas as we start to think about the emerging markets that we have internationally, we see great opportunities in Latin America. The revenue growth has been good there. The performance has been good. Asia Pacific is another area that continues to show growth. So we're obviously investing in those areas as well.
Davis Hebert - Wells Fargo Securities, LLC, Research Division: All right. And then on Clear Channel Outdoor, you have some flexibility under your covenants to increase debt compared -- you have the capacity to increase debt, whether that's the senior or the sub level. Could you provide any color on how you're thinking about that in 2013?
Brian Coleman: Well, I think you're referring to some of the amendments we got and various agreements. As we renewed and issued new securities, we did try to conform the permissible leverage ratios at Outdoor. And indeed, the senior leverage ratio, I think, stands at 7x -- 5x and the total leverage ratio at 7x. So contractually, there's additional flexibility. I think from a management perspective, Outdoor is happy with its current position, its debt level, its leverage ratio. And I'm not aware of any change to that strategy currently. Tom, are you?
Thomas W. Casey: No, I think that's right. I think that transactions just done last year, we'll continue to evaluate that. We think it's another low-cost area of financing if we want to pursue that. But right now, we feel good about where we are and the cash flow of that business continues to be very strong.
Davis Hebert - Wells Fargo Securities, LLC, Research Division: And then on the Media and Entertainment side, have you disclosed how much of that revenue is radio station related?
Thomas W. Casey: We haven't broke it down to that level of detail. I did give you some frame just on where broadcast was. Obviously, broadcast is one of our largest revenue items, but I haven't given specifics by each business.
Davis Hebert - Wells Fargo Securities, LLC, Research Division: Okay. And then as far as Premier, any color you can provide on where the margin is on that business this year?
Thomas W. Casey: Obviously, margins are still very good. We're just -- we're not seeing the revenue growth that we are seeing across our broadcast business. So it's something that -- as some of that network business is declining, we are seeing some of that picked up in our national business. So I think what we're seeing is some of that network business decline coming into our national, and that's, I think, helping our overall growth in national as well. But it's something that it's still early in the year, visibility is pretty limited. We'll continue to keep you informed of it, but that's kind of the color as of the middle of February.
Operator: Next, we go to James Dix.
James G. Dix - Wedbush Securities Inc., Research Division: Just 3 things. I appreciate the color on the potential payback from your strategic initiatives overall. I'm just wondering like if -- for Outdoor, more specifically, what your, kind of your rough expectation is for payback in 2013 on the initiatives that you took? And then I have 2 follow-ups.
Thomas W. Casey: Yes, so just to get you grounded, right? So for the year, of the $76 million, there was about $35 million, $36 million related to Outdoor. So I think, probably, call it half of that, is going to be into those strategic initiatives to grow top line: Field management, sales force effectiveness procurement, those types of things. And then about half of that is going to be cost takeouts, things that -- or things like severance, lease renegotiations, takedown, those types of things. So it's about 50-50. And probably, as I said, the paybacks on the costs are more predictable, shorter time, payback times, and then the strategic pieces are more systematic changes.
James G. Dix - Wedbush Securities Inc., Research Division: Okay, great. That's very helpful. If you have it, do you have a rough breakdown between the segments of that $35 million for the year? If not, I can follow up. But if you had it, that would be...
Thomas W. Casey: Yes, it's about $15 million for CCOA and about $19 million and change for CCI.
James G. Dix - Wedbush Securities Inc., Research Division: Okay, great. And then secondly, in terms of the upside for digital in the Americas, I mean, how should be thinking about that longer term? You added around 178 boards in the Americas for the year. You're now over 1,000. It's like a 20% increase, so still growing pretty fast. Just over the next couple of years, I mean, how should we be thinking about that in terms of signage growth or particular markets that might come up due to regulations easing? Just trying to get a little bit better sense on that.
Thomas W. Casey: Yes. As you mentioned, we've been pretty aggressive in deploying capital into these markets to grow our footprint. As you mentioned, over 1,000 new boards now over the last -- really, the last 6 years. So the pace of growth, obviously, just off a bigger base is going to be slower, but we still see opportunities. As you said, it is dependent on the local markets and some of the permits that we get. And so I would say that we see digital as continuing to be an important development for our business, particularly in certain markets. We think it's a real enhancer, premium product, for our traditional business. And it's a very, very attractive product for new verticals coming into the sector. So we think it as a very important tool to bring money to the sector, to get those new advertisers, as well as leveraging our traditional business in ways that -- where we have it in existing markets, we're able to do. So I would say it's going to be -- continue to be a part of our strategy. As I mentioned, digital is growing double digits. We don't see that slowing down. Obviously, we continue to work through the rate and occupancy issues like we normally would. But overall, we feel very good about the digital business.
James G. Dix - Wedbush Securities Inc., Research Division: Okay, great. And just related to that, you gave an outlook for 2013 CapEx, I believe, at the overall company. Do you have a breakdown, maybe you gave it but I missed it, just for Outdoor for 2013?
Thomas W. Casey: I haven't given guidance on CapEx for each company. Now having said that, probably close to $250 million, $260 million of that is going to be total Outdoor.
James G. Dix - Wedbush Securities Inc., Research Division: Okay, great. And then I had just one last one. You mentioned the changes in the overall landscape regarding REIT conversions. Just want to make sure, get any further color you had on whether anything has changed in terms of your view of the potential for any of your businesses to convert into a REIT, since obviously CBS has made its announcement. Just wanted to know if there's been any change in your thinking over the past 6, 9 months on that, given the developments you've seen at some of the other companies in the space.
Thomas W. Casey: I think when Lamar announced their plans and now following with CBS, I think clearly we're interested in seeing the various rulings that come out on which assets qualify. I think that will give us better line of sight. I think, as I've mentioned, our tax position is very different from others. CCOH is not a taxpayer today, federal taxpayer. And so the short-term benefits from a cash tax basis is not there. But when you look out 2 and 3 years out and you see some of those NOLs start to be utilized, maybe it's a time where the REIT structure for certain assets that qualify would make sense. That's obviously subject to a lot of analysis and thought. But it's something that, with the new developments, we're spending more time thinking through.
Operator: Our final question comes from the line of Andrew Finkelstein.
Andrew Finkelstein - Susquehanna Financial Group, LLLP, Research Division: Just a couple for me. Just on the Outdoor business, it's been a few quarters now, maybe since first quarter last year, where we've been in the low single-digit growth, 1%, 2%, for the Americas side, kind of accustomed to that now. What do you think it's going to take to get that growth rate back up to the sort of 4%, 5%. Do we need the economy to change? Is there something you guys can do better on your end to bring the Outdoor growth rate back up?
Thomas W. Casey: Well, I think the economy clearly hasn't helped, right? And so when you look at our Americas business on the revenue side, on an FX adjusted basis, up about 2%. We have invested significantly on the expenses, which I think we've covered on the phone. That's obviously putting some pressure on the reported number. But adjusted for the restructurings, we're throwing off about 2% OIBDAN growth in Americas for the year. That's kind of -- we should be hitting that or above that. With some of our expense initiatives, we like to think we can do that, but does require more or a better environment where we're seeing revenues up in the 2% and 3% range. So that's going to be something that we're going to have to see how the year plays out. We've come through some pretty difficult times with the economy, GDP's being negative in certain quarters and trying to manage our way through it. I think internationally, it's a different story. I think internationally, we feel very good about our emerging markets. For example, in the emerging markets, we're seeing pacings in double digits, 10-plus percent. Whereas we're seeing challenges in some of the European countries, and the Nordics being down high single digits. So I think it's a combination of things. I do think that -- can Europe begin to stabilize and from a comp, year-over-year comp standpoint, can we see some growth? We have done a lot to restructure these businesses and take significant costs out. Is it enough or do we need to do more? That's going to be dependent on the environment that we experience. So we're going to closely monitor it, manage it closely and -- but our expectation is to get the OIBDAN up and get that top line up and more commensurate with where we want.
Andrew Finkelstein - Susquehanna Financial Group, LLLP, Research Division: And then last one for me. Could you give us that breakdown you gave us for the Outdoor of the $76 million of investment spending for the CCME side?
Thomas W. Casey: Yes, it's about $22 million for CCME and a little bit lower than 1/2 is the strategic initiatives, about $9 million of it, and the rest is more of the restructuring into cost takeouts. And the remainder is just corporate. Corporate was about $50 [ph] million, so that rounds out to $76 million.
Andrew Finkelstein - Susquehanna Financial Group, LLLP, Research Division: And does the strategic stuff stay in the expense base going forward? I mean, were you kind of -- and you won't grow as much next year, but does that stay around? Or is that onetime in nature as well?
Thomas W. Casey: Most of the stuff we pulled out is the onetime stuff. This would be pulling in a consultant to roll out sales force effectiveness in 5 countries, whereas we may be able to only do it to 2 countries, given the resources we have. So we clearly have surge resources to help us with those types of things, so those are not something that we would expect to reoccur.
Gregory Lundberg: Thanks folks for joining us today. If you have any questions, please don't hesitate in contacting us. And we look forward to talking to you at our first quarter results.
Thomas W. Casey: Thanks, everyone.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference service. You may now disconnect.